Operator: Good morning and welcome to Corteva’s First Quarter 2021 Earnings Conference Call. Today’s conference is being recorded.
Jeff Rudolph: Good morning and welcome to Corteva’s first quarter 2021 earnings conference call. Our prepared remarks today will be led by Jim Collins, Chief Executive Officer and Dave Anderson, Executive Vice President and Chief Financial Officer. Additionally, Tim Glenn, Executive Vice President and Chief Commercial Officer and Rajan Gajaria, Executive Vice President of Business Platforms, will join the Q& A session. We have prepared presentation slides to supplement our remarks during this call, which are posted on the Investor Relations section of the Corteva website and through the link to our webcast. During the call, we will make forward-looking statements, which are our expectations for or about the future. These statements are based on current expectations and assumptions that are subject to various risks and uncertainties. Our actual results could materially differ from these statements due to these risks and uncertainties, including but not limited to, those discussed on this call and in the Risk Factors section of our reports filed with the Securities and Exchange Commission. We do not undertake any duty to update any forward-looking statement. On our Investor Relations website, you can find our earnings press release and related schedules, along with our supplemental financial summary slide deck, which is intended to supplement our prepared remarks for today’s call. These items provide a reconciliation of differences between reported GAAP and non-GAAP financial measures and should not be considered as substitute for the measures of financial performance prepared in accordance with GAAP. It is now my pleasure to turn the call over to Jim.
Jim Collins: Thank you, Jeff and welcome to the participants joining the call today. Starting on Slide 4, as I step back and reflect on how the organization closed out 2020 with strong sales and earnings growth in the fourth quarter, it is impressive how our teams executed in a very complex and dynamic market environment with the overlay of the COVID pandemic. It displays the focus and execution of our strategy and the commitment to delivering value. That momentum was sustained through the first quarter. And through focused heads down execution, we delivered a strong start to the year, with margin increases in both segments. I am really pleased with these results. Our technology leadership remains strong, evidenced by ongoing demand for our new and differentiated products. We continue to launch and rapidly scale these technologies, while taking focused actions on our cost and productivity priorities. Collectively, this focus on our commitments is helping to drive meaningful margin expansion today and looking forward. Importantly, our team around the world delivering these results is resilient. They continue to prove their agility in the face of ongoing market volatility, including the pandemic and remain intent on prioritizing the safety of colleagues, while serving our customers and stakeholders at every turn. And lastly, I am pleased to also share that we welcomed 4 new directors to our Board during the quarter. The addition of these directors and their background and experience will complement an already strong and diverse board and will serve as a catalyst for the ongoing advancement of our strategy, reinforcing our commitment to deliver on our value creation priorities. So, let’s look at Slide 5 which is our financial results for the quarter. We delivered strong organic sales growth across both seed and crop protection, leading to 6% organic growth for the company as a whole. Importantly, we realized better operating leverage on our sales growth this quarter as operating EBITDA grew 14% and margins expanded more than 150 basis points, a strong execution on our growth targets, coupled with improved SG&A more than offset the market-driven cost headwinds we faced in the quarter. The phenomena of the market-driven cost inflation, is a common theme we are seeing across industries, including raw materials and logistics. Dave is going to take us through the key market dynamics and other critical drivers for the remainder of 2021. On capital allocation, we returned approximately $450 million to shareholders in the quarter via share buybacks and dividends. And we remain on track to complete the majority of our remaining repurchases under the $1 billion program by the first half of 2021. Returning cash to shareholders continues to be a high priority for Corteva and a critical part of our balanced approach to capital allocation. This first quarter performance is another important proof point that our value creation strategy is working, reinforcing our confidence that we will meet our commitments for 2021. Shifting to the market backdrop on Slide 6, we remain encouraged by the strengthening global ag fundamentals, while also navigating macroeconomic uncertainties around the world. The ag outlook turned positive in the fourth quarter of 2020 as a result of rising farm income levels and constructive demand out of China. Today, farm incomes remain elevated on strong commodity prices and we continue to see record global demand for ag commodities. As a result, we are seeing ending stocks drawn down and expectations that grower income levels will be at all-time highs even with the easing government payments this year. In March, the USDA issued the prospective planting survey results, which indicated flattish corn acres, an approximate 5 million acre increase in soybeans for the U.S. As you recall, our original estimates were between 5 million and 8 million additional acres coming into corn and bean production for 2021, mostly going into soybeans. Given how we position our products with our customers, we are in a good position to take advantage of any potential upside in acres as market conditions continue to evolve. Commodity prices in Brazil remain strong as concerns of dry weather or lowering expectations on safrinha yields. We also expect to see planted area expansion in Brazil, with the potential for low to mid single-digit increases in corn planted area for the late 2021 early 2022 season. Although exchange rates have recently trended favorably, the market remains volatile and we continue to monitor for any further fluctuations. More importantly, based on how we are seeing the futures markets shape up, we believe these fundamentals will continue into at least 2022 as strong grain demand and supply challenges keep ending stocks low. This constructive backdrop provides Corteva further momentum for value creation as growers turn to best-in-class technology to maximize productivity and value. So, let’s turn to Slide 7 and I will provide some more detail on the strength of our global sales diversity and where we are capitalizing on momentum across the globe. In North America, organic sales were down 2% for the quarter against a difficult 2020 seed comparison. While 2020 first quarter seed volumes benefited from early demand amidst favorable weather conditions, we experienced a more normalized delivery pattern this year. We expect corn volumes to increase in the second quarter as our seed deliveries in the U.S. Pioneer brand have caught up to the prior year as of today. On seed pricing, first quarter was negatively impacted mostly due to brand mix. Our second quarter deliveries to-date reflect improvement in corn pricing despite aggressive market competitiveness. We remain excited about the demand and traction we are seeing in the Enlist soybean launch and still expect Enlist to represent about 30% of the U.S. soybean market in 2021, an important milestone towards our goal of 50% market penetration. North America Crop Protection had a strong start to the year, with 11% organic growth on strong demand for new technologies, including Enlist herbicide and solid pricing execution in response to rising raw material freight and logistics costs. In Europe, Middle East and Africa, organic sales grew 6% on record corn and sunflower seed volumes as supply concerns and commodity cost pressures drove an early start to the spring sales season. Our portfolio of new and differentiated products, such as Arylex and Rinskor herbicides, remain in high demand, which enabled us to drive price and volume in crop protection. During the quarter, we also obtained key regulatory approvals, including the registration of Univoq fungicide with Inatreq active for sale and use in the UK, a major milestone for serial growers needing innovative and sustainable chemistry solutions to protect their crops. In Latin America, we delivered 38% organic sales growth on strong volumes and execution of our price for value strategy. And seed volumes grew 39% on strong Brazil safrinha sales and early demand in other countries. In Crop Protection, volume grew 10% on significant demand for new and differentiated technologies such as Isoclast and Jemvelva insecticides and Enlist herbicides. Pricing actions reflect strong product demand and partially offset unfavorable currency impacts in the Brazilian real. In Asia-Pacific, we realized 9% organic sales growth compared to the prior year on both volume and price improvements. While seed volumes were down on the shift of some corn sales to the second half, crop protection growth was led by further penetration of Jemvelva and Pyraxal insecticides. Now, Dave will provide more detail on our results and our expectations for the rest of the year. But let me first say, we are very excited to have Dave join the Corteva team and I look forward to the contributions he will make in bolstering our momentum and execution looking ahead. So, Dave, over to you.
Dave Anderson: Thanks, Jim, very much and welcome everybody to this morning’s call. Let’s go to Slide 8 for a more detailed review of our strong first quarter operating EBITDA performance. You can see that operating EBITDA grew from $794 million last year to $904 million in the first quarter of 2021, representing a $110 million improvement. It’s a clear testament to the momentum that Jim mentioned. Driving this increase were price benefits of $125 million and volume benefits of $50 million from strong commercial execution and penetration of our new and differentiated products across all regions. It represents important progress on our targets and really reflects the strength of our portfolio and pipeline. On new Crop Protection products, we recognized sales growth of over $120 million. At the same time, we delivered record corn and sunflower volumes in Europe and strong safrinha sales in Brazil, which helped to offset the seasonal timing of seed deliveries in North America. Finally, we continue to extract value for our yield advantage technology in corn, with global corn pricing up 2% for the quarter. Now, costs were a $70 million net headwind to operating EBITDA for the quarter. This reflects approximately $50 million in productivity and other cost actions positively, which were more than offset by higher input in freight costs, which are primarily market-driven. Let me give you some color on that. As economies across the globe start to emerge from the pandemic-related shutdowns, global trade markets are experiencing a higher shipping demand leading to higher freight costs. Additionally, prices of certain active ingredients and intermediates have risen compared to the same period last year. As a result, we incurred approximately $120 million of cost headwinds in the quarter due to increased freight and logistics, higher raw material costs and unfavorable seed yields in Europe. Now, we are taking action where possible to mitigate these impacts, including delivering on our productivity initiatives and passing through certain inflationary costs for our seed and crop protection products. For example, late in the first quarter, we initiated on average mid single-digit price increases in the U.S. on our Crop Protection products. Taken together, we delivered over 150 basis points of margin expansion in the quarter as a result of the discipline and focused execution despite the cost increases that we encountered. Let’s go now to Slide 9 focused on crop protection for the quarter and cover a few highlights. As you can see, Crop Protection organic sales grew 12% in the quarter, driven by a 6% increase in volume and a 6% increase in price. Now keep in mind, including with this volume, growth is a 5% headwind from our strategic decision to phase-out certain products, primarily in the insecticides portfolio, including Chlorpyrifos as well as Telone. Now, strong global demand for our new technology led to an increase of more than $120 million in new product sales when compared to the same period last year. Herbicides were up 20% compared to the first quarter of 2020 led by continued penetration of Arylex and Enlist. Fungicides grew 14% driven by strong demand for Zorvec and also Inatreq, primarily in Europe, Middle East and Africa. And lastly, insecticides grew 2% in the quarter, largely driven by our differentiated Spinosyns technology, notably Jemvelva as well as Qalcova. These were up 29% in the quarter. Now, this growth was again muted by our decision to phase-out select insecticides, as mentioned earlier. Favorable product mix in Crop Protection and strategic price increases drove pricing gains in the quarter, including an 18% price improvement in Latin America and a 6% price improvement in North America. Operating EBITDA for Crop Protection improved 35% for the quarter, driven by robust demand for new products and pricing execution. Now, we experienced cost headwinds of approximately $70 million for this segment. And again, these included increased raw material costs, such as precious metals used as catalysts as well as increased freight and logistics. Taken on the whole, these headwinds more than offset our productivity actions. As we go forward, we are aggressively managing controllable factors and at the same time, proactively mitigating this cost through delivering against our productivity programs, passing through certain costs for our products wherever possible. Very impressively, despite these challenges I mentioned, we drove over 300 basis points of improvement of operating EBITDA margin in the segment in the quarter. Let’s go now to the seed segment on Slide 10. You can see organic sales per seed were up 3%, driven by strong Brazil safrinha sales and record corn and sunflower volumes in Europe on an early start to the spring. These gains were partially offset by the seasonal timing of deliveries in North America, where seed volumes in the quarter were down 6%, driven by the U.S. where we had a very early start in the prior year. Overall, global corn volumes were flat, reflecting these seasonal shifts. On pricing, we maintained our track record in extracting value for our yield advantage technology, with corn prices up 2% for the quarter. Soybean volumes were also flat for the quarter, with price down 4%. Now keep in mind, the first quarter is a meaningful quarter for soybeans since the large majority of the deliveries occur in the second quarter. And as Jim mentioned, our expectations for Enlist E3, the ramp there is on track. Other oil seeds were up 19% versus the first quarter of 2020 reflecting record sunflower volumes in Europe and higher canola volumes in Canada. Operating EBITDA for this segment improved 6% on strong price execution globally, ongoing cost and productivity actions and a gain on the remeasurement of an R&D technology-based equity investment, which is included in the other column. These improvements were partially offset by the unfavorable impact of currency and higher input costs, which were primarily market related. These cost increases included again higher freight and logistics costs, coupled with the impact of unfavorable seed yields on European corn. The teams continue to manage through these headwinds and still delivered operating EBITDA margin improvement of over 100 basis points per seed for the quarter. So, now let’s go to Slide 11, talk about our first half 2021 updated expectations and full year 2021 guidance. With the backdrop of the segments, you can see we expect top line growth of about 3% for the half, led by continued strong demand for our new Crop Protection products globally. This growth includes an approximately $130 million sales headwind from strategic decisions to phase-out certain Crop Protection products. On the seed side, we are monitoring what ultimately gets planted this season in North America given recent strengthening in commodity price levels. Globally, we expect first half seed volumes to be about flat with the prior year. We are confident that we will maintain our momentum and we continue to extract value for our yield advantage technology in corn globally. Turning to costs, we remain committed to the execution and realization of our productivity programs, which we believe will be more than offset by anticipated headwinds from increasing freight and logistics, higher raw materials and unfavorable seed yields in Europe, resulting in a net headwind of $50 million for the half. Taken together, this translates to operating EBITDA of $2.15 billion to $2.25 billion for the half, an increase of 8% over 2020 at the midpoint and an approximate 120 basis point increase to operating EBITDA margins. Turning to the full year, we are raising our revenue guidance. We now expect reported net sales to be between $14.6 billion and $14.8 billion, up 3% to 4% over 2020. This increase reflects continued demand for new products globally in both our crop protection and seed segments, coupled with strong price execution in key regions on technology and pricing for higher costs, where possible. On cost, we expect a net headwind for the year of $50 million as the higher input costs and freight logistics are more than offsetting productivity savings. Specific to G&A spend, we are maintaining our post-COVID spending levels with anticipation that G&A will be essentially flat for the year, with the organization driving inflation impacts to a net zero for G&A. Reflecting the strength of what we are seeing in the market and focused execution, we remain on track to deliver operating EBITDA between $2.4 billion and $2.5 billion for the year, an improvement of 17% over 2020 at the midpoint and approximately 200 basis points of margin improvement. Standing back, here are the key takeaways for the quarter. First, we delivered an impressive start to the year in both top and bottom line, driven by penetration of technology advantaged products despite some headwinds. And second, we remain on track to deliver strong double-digit earnings improvement for the year. So, before turning the call back to Jim, I just want to take a second to provide a few initial observations since joining Corteva last month. Coming into the company, I have been impressed with the tremendous franchise that Corteva represents. It’s backed by a strong culture and high-value assets, which I believe in combination are capable of delivering on the significant growth potential. Leveraging what I have referred to as the CFO skill set, it provides a great opportunity to help deliver the operating leverage we see for the business. Those are early thoughts. I look forward to sharing more with you in the future and working with the team on executing Corteva’s strategy. And with that, I will turn it back over to Jim.
Jim Collins: Great. Thanks, Dave. And before we get to your questions, let me offer a few final comments. As you can see in our results, this organization is executing. We are off to a strong start to the year. And despite some of the unplanned headwinds from market-related factors, we are on track with our expectations. And as we look ahead, we remain focused on driving progress against those fundamental elements of our strategy, advancing our industry leading innovation pipeline, including the ramp-up of our proprietary Enlist system, and delivering on our productivity and cost savings initiatives and maintaining our disciplined approach to capital allocation. Now we have considerable momentum right now, and we expect focused execution in our plan will enable us to continue to generate value and deliver on our commitments to our shareholders. The market backdrop is clearly strengthening. And despite macro uncertainties, we expect favorable market dynamics to continue through the mid-term. Our current pace is aligned with our mid-term earnings targets, and we are well positioned to create significant durable value for shareholders in 2021 and beyond. And finally, at the foundation of this is a fully focused team and a strong legacy of technology leadership, which can be traced all the way back to the founding of the Pioneer brand, which, by the way, just celebrated its 95th anniversary. This legacy and a shared sense of accountability for our commitments and our purpose demonstrates that the culture we have built at Corteva is solid. The events of this past year have left an undeniable impact on all of us. Our Corteva teams rose to this challenge, prioritizing the safety of our colleagues, our customers and our communities and our teams around the world continue to do that today. 2021 has proven that the pandemic recovery remains uneven and an ongoing focus on our values, including safety, are just going to remain critical as this global health crisis intensifies in parts of the world, such as India. As a global citizen, with operations in 140 countries, we remain as committed as ever to taking actions locally in the communities in which we operate. Harnessing the power of our scale provides to deliver value for all of our stakeholders. So, let me now hand the call back to Jeff.
Jeff Rudolph: Thank you, Jim. Now let’s move on to your questions. I would like to remind you that our cautions on forward-looking statements and non-GAAP measures apply to both our prepared remarks and the following Q&A. Operator please provide the Q&A instructions.
Operator: [Operator Instructions] We will now take our first question from David Begleiter from Deutsche Bank. Please go ahead.
David Begleiter: Thank you. Good morning Jim.
Jim Collins: Good morning Dave.
David Begleiter: Jim, just on costs and productivity, can you remind us what you were expecting for the year initially versus what looks like a $50 million net headwind right now?
Jim Collins: Yes. Great, Dave. Thanks for the question. And I would start by saying we had a lot coming at us, but had really great start by the team, and it’s always kind of tough to call that first quarter, kind of second quarter split. But we are, I think, executing pretty well. There are some things, some areas that we are still watching some trends that are moving up on us, that may be a little bit greater than we started the year. And a lot of that starts with commodity prices. Those are going to continue to affect our seed production costs. And a little of that is for full year, kind of back-end loaded as we watch production costs in Brazil and harvest seed and get ready for that commercial season. There are some market driven cost headwinds. And maybe I will hand it over to Dave to share a little more detail on a few of those. But at the high level, it’s things like freight and some of the key raw materials, and many of those are COVID related, transportation related, and some of those are just kind of global demand, really creating some shortages here and there. And I would say some of the other areas that are affecting costs are also COVID related. The recovery that we are seeing globally is a little bit uneven. We are seeing some flare-ups in parts of the world, like India and Brazil that are affecting transportation and logistics routes, but also affecting our customers and, in some cases, demand and supply. So, as I step back and I think about some of the opportunities that we are driving, this team is executing really well, and we are covering – essentially covering those costs with our outlook. We are – as we have said earlier, we are essentially on track with our full year guidance that we gave you. So, even though there are some new headwinds that I have mentioned, we have got those covered. And I think what we have done with this outlook is taken a really balanced approach here and continue to monitor and watch these. But Dave, do you want to share any more detail for Dave on that?
Dave Anderson: Sure. Thanks Dave, by the way, good morning and nice to meet you. So, I think a couple of things, just to add a little bit to what Jim said and kind of back to your question. Number one, as you would suspect, we spent a lot of time on the subject. I mean, this is something that has really been a focus and attention of this leadership team, with this management team. And it’s a headline item, obviously, not just for Corteva, its industry wide phenomena that you are seeing in a number of the releases. Some of the things that I think stand out, just to add a little bit to what Jim said. Number one, we are on track in terms of our annual productivity. That’s the key message. The $250 million guide that we gave you at the beginning of the year, we are on track for that. So, what we are really talking about is what is the incremental impact relative to that. So, seed yields and commodity costs, that’s the biggest item. For the quarter, we are impacted about – estimate of about $30 million and about $150 million for the full year. Sea freight and logistics would be second, followed by glysophate, precious metals, the catalyst in terms of use in our crop protection processes. And then the core protection supply and freight. These make up in total, the delta that we are talking about in terms of impact for the year, so whereas previously, we had net of productivity positive for the year. Now what we are looking at is negative $50 million impact for the year as a result of all of this. So, that’s a big impact for us. The delta, previously, if you looked at, again, productivity of $250 million, our previous guide would have been that we would have had positive, about $150 million net. Now we are looking at net $50 million negative. So, that’s the $200 million swing that we talked about for the year. Hopefully, that helps. And then, just to reinforce what Jim said, the best judgments we have right now we will continue to refine this and also taking a step back just to reinforce that we are on track for the full year in terms of that EBITDA growth and that EBITDA margin improvement.
David Begleiter: Great. No, that was very helpful. And just Jim, one last thing, the implied Q2 guide is a little bit below consensus, but the first half guide is a lot of consensus. So, is this really just a timing issue again, Q1 versus Q2?
Jim Collins: Yes. Absolutely, Dave. It is always hard to call that first quarter, second quarter mark. And while we talked in the opening comments about a strong finish to the Latin America season and really strong start to Europe, I would say North America is a little bit behind the pace that we had last year, and you will see that North America pace tick up in 2Q. If we had 3 or 4 more good days of weather, North America might have been pretty much right on top of where they were last year. That’s how much business can move in just those few days right around that quarter end. So as I sit here today, we have caught up on all of our shipments in North America to where we were this same day last year. I feel really good about where North America is going to finish. And you called it exactly right, Dave. We are on our plan for the half, and we expect to be right on plan for full year at this point.
David Begleiter: Thank you very much.
Operator: We will now take our next question from Joel Jackson from BMO Capital Markets. Please go ahead.
Joel Jackson: Hi, good morning everyone.
Jim Collins: Good morning Joel.
Joel Jackson: Obviously, we are in an inflationary environment, commodity prices, and you had some of those pressures right now, and you have been able to mitigate that with price and volume. Can you talk about a little bit more granularity on the buckets that led to a couple of hundred million dollars of cost pressures here? I imagine it’s things like glufosinate and paying Brazilian farmers more for their seeds. And as this continues, can you talk about the levers you can pull? Like should the inflationary environment positive for Corteva? And talk about how you can mitigate cost pressures and how it can be positive for you?
Jim Collins: Sure, Joel. Let me mention a few comments. We will let Dave cover a little more of the details on those costs, and then maybe we can come back and talk about additional levers we have for the year. I want to reinforce one point that Dave made earlier, that our productivity programs that we launched at the beginning of the year are still on track. And that $250 million of productivity year-over-year is in flight. I feel really good about that. And as you mentioned, we have seen some of these headwinds. So Dave, do you want to talk about a few of those again?
Dave Anderson: Sure. Let me – because I named the major categories earlier, Joel. Let me just give you a little more detail. I am going to talk about full year numbers now. So in terms of seed deals and modeling costs, we are now looking at around $150 million. Headwinds, seed freight and logistics, that’s about 30 – lyphosate where – will actually affect pricing, obviously, in terms of pass through, that’s about 50. And then rhodium, where that we saw, I think it was a 4x, Rajan, it increased in that spot price. That’s now going to impact us for first and second quarter. But what the teams have done, and Rajan can talk a little more about that, but we are substituting now palladium for rhodium, but that’s still a $50 million estimated impact for the full year. And then finally, on corn products, supply and freight, that’s estimated to be about $20 million. And most of that, by the way, occurred in the first quarter. The first quarter number, by the way, those should – some – what I just gave it should sum to about $300 million. That $300 million compares significantly – negatively to what we had built into our previous forecast. And as I mentioned previously, net of productivity, we are now looking at a $50 million hit versus previous guide was $150 million positive. So, in other words, productivity more than offsetting cost, improved cost increases. Jim or Rajan, anything you guys would want to add in terms of those insights?
Jim Collins: I will just close it out, Joel, as we asked about, as we look forward, other levers that we have. We are going to obviously finish through the first half here, get this North American market kind of behind us. We still have a lot of seed to put in the ground in North America. But then we have got that second hemisphere season ahead of us in Latin America. And I feel really good about the setup there, but we still have some pricing opportunities in the second half that we are going to explore. We still might have some volume. We are hearing that the Safrinha season, as acres expanded last year, we think we could see some acreage expansion. We found a little of that in already, but we are going to watch that really carefully. And then as I mentioned before, one of the big keys for us are those productivity initiatives. They are well underway. We have got good momentum there, and we are going to keep pressing those forward. So, as I said before, it’s early. We are taking a real balanced view right now with this outlook that we have given, and we are going to keep updating it as the year unfolds. Thanks, Joel.
Operator: [Operator Instructions] We will now take our next question from Vincent Andrews from Morgan Stanley. Please go ahead.
Vincent Andrews: Thank you and good morning everyone. If I could ask and start out in seed, the $112 million gain on the re-measurement of the equity investment. I guess, what is that equity investment? Was that $112 million in the original EBITDA guidance you gave at 4Q? And is it one-time in nature, such that if you don’t revalue it higher again in the first quarter of next year, it’s actually a headwind in the bridge from ‘21 to ‘22. So, maybe we could start with that? Thank you.
Dave Anderson: Yes. Good morning Vincent. Nice to meet you. This is Dave. So, we recognized actually about a $14 million gain on the re-measurement of a strategic R&D technology equity investment in the quarter. So, it’s relatively de minimis in the scheme of things. So, I think that’s the important thing for you to understand. Now the one thing I think I would just add a little bit to that, while we are on the subject is, if you will, if you look at the total in terms of the other column, when we look at EBITDA walk or the EBITDA bridge, that also does include also some benefit of a reversal of a bad debt accrual that basically reflects very good collections activity and obviously, just the strength of farmer income. So, just the overall market environment is positive. But if you take those together, that represents in the neighborhood of about $30 million to $35 million for the quarter. In total for the year, it’s part of our walk – when we do our bridge from where we were to where we are now in terms of, as Jim said, our balanced outlook, that is included in that. In the context of the overall performance and profitability and size of EBITDA for the company, again, I think it’s relatively small in the scheme of things. But it’s a good question. I am glad we are able to flag that and point that out.
Jim Collins: Yes. And Vince, as you look at that chart, just to reinforce the message, the margin impact from that gain was 112 basis points, not dollars. So, as you look at the bottom of the chart, those are basis point numbers, not dollars.
Dave Anderson: Yes, it’s a very good point, Jim. And hopefully, that both the dollar amount that I mentioned to you, $14 million for that one item, the overall, if you will, other contribution to EBITDA, hopefully, that all puts it in perspective.
Vincent Andrews: Thanks guys.
Operator: We will now take our next question from P.J. Juvekar from Citi. Please go ahead.
P.J. Juvekar: Yes. Good morning, Jim, and welcome, Dave. With corn prices approaching almost $7 per bushel and farmers flush with government payments, this would be the best time to raise seed pricing in North America. And I know, Jim, at your Analyst Day, you talked about your molecular stacks and your dual mode of action with the seeds. Why would your seed price down in the quarter and why aren’t farmers buying better germplasm or traits?
Jim Collins: Yes, great. P.J., thanks for the question. And we – obviously, you are right. We talked a lot about pricing in the past. And if you recall, on our fourth quarter call, we stated that we expected to continue to maintain the pricing for value strategies that we have had out there for a number of years. And that led to a 2% pricing in corn looking forward and looking back. And all of that mechanism that we had in place coming out of fourth quarter is still there. And so if I just look at our first quarter global seed pricing, we were up 2% and corn is also up 2%. So, that technology lift that you are mentioning is out there. Now also remember that in North America, we have essentially priced all of the seeds that we are delivering right now back in September of last year, and that was ahead of the big commodity run-up that we are starting to see. So, it’s always a really competitive market out there. But our pricing for value strategy says that we are going to get paid for the yield advantage to technologies that we bring to our customers and most notably in corn. Tim, do you want to kind of maybe mention what you are seeing out there in the market, both from a corn and soybean perspective around what’s going on in price?
Tim Glenn: Yes, absolutely, Jim. And good morning P.J., I would say, as you said, corn pricing has been consistent with our expectations through the course of the season and good strong execution and I think we are getting paid for our advantaged portfolio. The thing we don’t see is farmers switching their seed purchases based off of necessarily the price of grain corn. And they purchase technology package based off of the pest pressure that they deal with, and that really doesn’t vary that much. And through good times and bad, they are very consistent with their purchases. So, that’s there. We did have a slight phenomenon here in the first quarter where we had a different brand mix in the U.S., as Jim said, a little bit less Pioneer with the revenue recognition kind of that last mile to the hands of the farmer, so that impacted pricing a little arbitrarily there. But I think we are consistent with where we are. And obviously, as we look into 2022, we have got that lever, and we are clearly going to be looking at all factors around the value of our offer, what the market conditions are. And clearly, product cost considerations have to be part of that. Just to touch on soybeans a little bit. As we said earlier, we are very happy with where we are positioned in the marketplace in terms of the acceptance of Enlist E3, very widely available today and well accepted in the marketplace. But we are in a situation right now in the U.S. market for soybeans, where we are in a period of technology transition and that transition is, we have got Enlist E3 being rapidly adopted. We have had around [indiscernible] kind of transition around [indiscernible] quickly. And I would say that there is a battle for growers’ attention in that marketplace. Clearly, there is an attempt to ensure that there is penetration of those technologies and gaining rapid adoption. And the other thing we dealt with, both on corn and soybeans this year, is that prices were set and released to farmers in advance of when we had the significant run-up in commodity prices. So I think prices were set fairly from where we sat in terms of that period point in time when we released prices. But clearly, we had this dramatic run-up in the fourth quarter and here into the first quarter as well. So as you think on a more global basis, we’re looking aggressively at our situation in the second half of the year, where we’re currently pricing and re-pricing some of our products. And we’re going to factor in those points that I made around market conditions, our cost considerations, and clearly, that product value is at the foundation of it. So – but it’s been, I think, consistent with our expectations, but obviously, it’s a little confusing because of the near-term run-up we’ve had in commodity prices, that’s different from when we release pricing.
Jim Collins: Thanks, Tim. And P.J., I know you were focused on North America. But also in the quarter, if you look at Latin America pricing, we were up 14%. And in the quarter, crop protection pricing was up 6%. So as I said, we’ve installed that methodology and that thinking now in the organization, and we’re going to continue to keep the focus there.
Operator: [Operator Instructions] We will now take our next question from Silke Kueck from JPMorgan. Please go ahead.
Jim Collins: Good morning.
Operator: Please ensure your mute function is turned off.
Silke Kueck: Hi. Good morning. Sorry about that.
Jim Collins: It’s okay.
Silke Kueck: Hi. Good morning. I have two questions. What is behind Europe – what was behind like the flat seed outlook for the first half of the year? Is that correct? Does that have to do with the competition in the market you are seeing? And I was wondering whether you can talk about the planting estimates and whether you think that those are relatively conservative. Some of the ag retailers have already thought that, probably like corn acres should be 2 million acres higher versus those initial estimates, and soybean acres might be higher by another 2 million acres. So I was wondering if you can comment on that? And my second question is about the negative mix in seeds that you alluded to. Is the negative mix a function of you’re selling more a Brevant seed versus Pioneer or is it a function of your technologies being offered on somebody else’s germplasm, like for Enlist for example rather than your own? Thank you.
Jim Collins: Yes, great. So on the half, what you’re seeing overall, you can see strong start in first quarter, and that was led off by the finish to Latin America and an early start to Europe. As we put that on a first half basis, really, what’s happening there is you’re right, we’re going to grow in North America where we’re seeing acres return in soybeans and strong, kind of, flattish acres in corn. But we’re going to be down overall in Europe on some – mostly supply constraints in corn. So on balance, it’s about flat. Now, on volumes, now you’ve mentioned the USDA outlook, and we’re watching that very, very carefully. And with our route-to-market approach and kind of that real tight connection right to the acre, we feel like we’ve put ourselves in a really good spot, that if we do see some acres come back into this market, we’re well positioned to capitalize on that. In terms of price and mix, it’s just the flow-through of the different products. In first quarter, the heavy flow-through of the Pioneer brand is really ahead of us in 2Q. So in first quarter, you’re kind of seeing some of that other route to market, other channel brands that are flowing through, as well as the effect of both the European and Latin America flow through. So I don’t know if, Tim, anything else or Dave, anything else you have to add?
Tim Glenn: I think the question around acres, just a point Jim made, I mean clearly, we’re working closely with customers. We’re in a, I’d say, a fairly favorable planting environment right now. You look at the corn progress report this week, and we’re roughly 10 percentage points above the 5-year average for planet corn area. And that opens the door for farmers to plant more corn. Now at the end of the day, it’s an individual decision, and farmers are going to make that on a field-by-field basis. And so I think it’s fair to say your point around more total corn and soybean acres being planted. I think we would agree with that and probably more consistent with what our original guide was for the year, somewhere in the 180 million to 182 million combined acres on corn and soybeans. It’s hard to make the call specifically on how much it’s going to go to corn or soybeans because it is such an individual decision. But the window is open. And as farmers make great progress planning this crop, then it clearly creates an opportunity for a little bit more corn to be planted in places. So we’re working closely with our customers to make sure we’re there to provide the needed products.
Jim Collins: Right. So overall, I’d say we’re pretty excited about this market backdrop that Tim just talked about and you mentioned acres wise. And we don’t believe this is just a 2021 thing. We think as we start to set up for 2022, we can have a couple of good years here from an acre and supply constraints that we’re seeing globally. And it’s the right kind of problem to have. It’s just really strong grain demand out there accruing those opportunities. Thanks. 
Operator: [Operator Instructions] We will now take our next question from Kevin McCarthy from Vertical Research Partners. Please go ahead.
Jim Collins: Hi, Kevin.
Unidentified Analyst: Hi. This is Corey on for Kevin. Dave, welcome. Question about capital deployment, now that you’re nearing the end of the share repurchase program, which, I believe, completing in the first half would put you about a year ahead of schedule. Can you update us on thoughts regarding deployment of excess capital through additional repurchases or M&A after the completion of this program?
Dave Anderson: Sure. Well, it’s a really good point. Jim mentioned the $450 million in the quarter, approximately returned to shareholders. That’s obviously a foundational item for us when we think about capital deployment, Corey, as you know. And as you say, we’re on track probably to complete the majority of our outstanding share buyback through the first half, certainly through the first three quarters of the year. So timing there will be sort of to be determined. But it really does open up the good point that given the cash generation of the company is the opportunity to continue to deliver value back to shareholders, not only in terms of the operational performance and excellence of the company, but also through our ongoing dividend as well as the share buyback program. We’re going to be talking more about that later in the year. We’re going to have more visibility as we complete the first half. We will have more transparency too around – for us internally, around the outlook for working capital, some of the other key components for the full year. So we will come back to you and update you at that time. But it’s a very good question because the things you’re talking about are foundational in terms of how we’re thinking about the company, and we’re thinking about capital employment. Hopefully, that helps.
Jim Collins: Thanks, Corey.
Dave Anderson: Thanks, Corey.
Operator: We will now take our next question from Steve Byrne from Bank of America. Please go ahead.
Steve Byrne: Yes. So it sounds like the rally and corn that we’ve seen in the last few months is probably benefiting your crop chemical sales more than seeds, given your seed orders were locked in and effectively priced in the fall. But can you comment a little bit about how the ag outlook has rallied in the last few months, has affected your outlook for the next crop in 2022. Where do you think you have the most meaningful impacts on either price/mix or market share gains? And also, I just wanted to find out whether or not any of these logistical issues that you highlighted may have prevented some seed deliveries in the second quarter. I heard a little bit of that from some retailer contacts that seed orders were really, really delayed. And whether any of them might have been too late, and that could have led to an order change?
Jim Collins: Yes. Thanks, Steve, for the question. Clearly, a strong market backdrop, good commodity prices, net farm income levels, where they are, provides opportunities for a grower to make an investment in their crop, whether it’s continue to purchase really, really strong high-performance seed, but also to make that investment in a strong Crop Protection program. And there is no doubt that as we come into this season here in 2021, the investments that growers are making in, we control, is really showing up. And it’s maybe not as much in the corn herbicide market, but we’re really just feeling in the soybean herbicide. And we’re leading that charge with Enlist. Our business in North America for herbicides organically growth-wise revenue price volume was up 32% in the first quarter over last year. So you can really see that momentum. And we’re feeling that in other places around the world. So as we start to shape up for 2022, we’re going to be there with a strong lineup of crop protection products. And the overall market backdrop will give us that opportunity to, as Tim said, consider all of those factors as we think through our pricing strategy for this next year. In terms of the supply perspective, we really only had one small issue globally, and that’s been in Europe. And it’s just been related to some production constraints that we felt this past year. There were parts of Europe that had some real weather-related issues. It’s not just a Corteva thing. There are other folks in the industry that are feeling that similar pressure. And by and large, I think we’ve kind of worked our way through it now, and we’ve put ourselves in a position going into ‘22 to have the supplies that it’s going to take. So – anyway, finishing off on pricing for a moment. I think the best answer to that is you just got to look back at our track record and what we’ve accomplished over the years. And we’ve done – we’ve accomplished that track record in some pretty tough markets. And as markets start to improve, we’re going to continue to drive that, going forward. Thanks, Steve.
Operator: We will now take our next question from Arun Viswanathan from RBC Capital Markets. Please go ahead.
Arun Viswanathan: Hi. Thanks for taking my question. Congrats on a strong start here. I guess, I just wanted to go to the cost side. You guys unveiled some strong programs last year. And as you noted, now that the productivity or costs have increased, you are looking at a $50 million headwind. You also had some temp costs last year. So could you just describe how much of those costs potentially come back this year and maybe the opportunities to make some more of those structural moving forward? Is there a potential – or potential walk to maybe low 20 on EBITDA margin over the next, say, several years? And if so, what would be some of the areas that you target to increase productivity? Thanks.
Jim Collins: Thanks, Arun. Clearly, we have built a discipline and a set of processes around driving productivity kind of year in and year out. And so you’re right, this year we’ve talked about $250 million of productivity programs. A lot of those aimed in our manufacturing and cost of manufacturing organization. But we will continue to have productivity focus in other areas of the business. One of the areas where our costs have trended down nicely has been related to this whole pandemic and COVID, and the fact that we have areas of the business where we’re being just really efficient with the investments that we’re making. And we would expect a little of that cost to come back this year. Our stance, we’re pretty much trying to maintain that very kind of tight focused stance. And it’s a little early, but as we start to think about 2022 in North America, we will start to return to a more normal, kind of, stance in terms of people and work and a little bit more travel maybe and a little bit more from a focus on investments there. But I’m committed, and Dave and I have talked a lot about this, about finding additional productivity programs. So we don’t let those costs creep back in. So Dave, what else would you share?
Dave Anderson: I would just say, too, it’s a really good question because it’s one that’s not surprising a topic for our leadership team, and particularly as we look at the strength of the first quarter, what we’re delivering, I mentioned the positive in terms of the SG&A expense that we have. And we look at that on both, obviously, a nominal basis and also net of inflation in terms of performance that we’re delivering. The key thing is, in addition to productivity, we’ve also, as you know, invested behind some restructuring. And a lot of that benefit is going to flow through in future periods. So we’ve got some things that are in the stream, if you will, that are active, that are also going to benefit us going forward. But as Jim said, this isn’t just – this isn’t a static process, a very, very dynamic process. We’re going to continue to look at how do we continue to replenish this portfolio of programs and projects. And that’s a big part of delivering in terms of our forward plan.
Jim Collins: And on the second half of your question around EBITDA margin improvement going forward, 2021 is a first really good installment there. By the end of the year, we will have added 200 basis points to our EBITDA margin. And the trajectory that we’re on, as we’ve talked about before, is to continue to drive EBITDA towards those midterm growth targets that we laid out. And you’ll continue to see those EBITDA margins climb.
Operator: We will now take our final question from Adam Samuelson from Goldman Sachs. Please go ahead.
Adam Samuelson: Hi. Yes, thanks. Good morning everyone.
Jim Collins: HI, Adam.
Adam Samuelson: Hi. Maybe a question for Dave Anderson and just thinking about maybe your early reflections on the capital structure, and the way Corteva manages the very significant working capital seasonality, the cash balance associated with that. And then just given your kind of prior and very successful career at Honeywell, managing significant legacy liabilities, any thoughts on opportunities that – to do anything with the pension to maybe relieve that burden from a liability perspective?
Dave Anderson: Yes. It’s a really good question. Again, it’s against the backdrop of the strength of our operating performance and our cash flow outlook, that multiyear guidance that we’ve given in terms of cumulative cash from operations through 2022. So that really does provide us the foundation, as I mentioned earlier, that provides us the foundation in terms of flexibility, going forward. I think it’s a really, really timely question given that. And it’s one that Jim and I have talked about. We will have, obviously, the opportunity to do deeper analysis, working with not only the finance team, but others in the organization, sharing some thoughts with the board, coming back and later in the year, probably sharing more thoughts also with investors. So that’s something I would say is very much on our minds. I would say right now, the thing that we’re really focused on is just continuing to execute operationally, deliver the margin expansion and deliver, obviously, the cash flow for the year. And continue to reward shareholders, not only through our operating performance, but also through our ongoing dividend and our share buyback program. And then that gives us optionality. And I think that’s a plus I would say we look forward to giving you updates on that as we go forward. And I would put pension into that category. And you’re right I have had a fair amount of experience in that. It’s just something you do over the course of your career. So it’s one of the things that I’ll be working to with the team around in terms of options that we have there. Thanks for the question.
Jim Collins: Yes. Thanks, Adam.
Jim Collins: Excellent. Well, we thank you all for joining the call today and really appreciate your interest in Corteva. Have a great day.
Operator: This concludes today’s call. Thank you for your participation. You may now disconnect.